Operator: Good day, ladies and gentlemen, and welcome to the Remgro Annual Results Presentation. [Operator Instructions] Please note that this event is being recorded. I will now hand you over to Mr. Jannie Durand. Please go ahead.
Jan Durand: Good morning, everybody. Thank you for joining us this morning, and welcome to our final results presentation for the year ended 30 June 2025. Today, the team and I will unpack our financial performance for this past financial year and has become our set format, we will delve into some detail on the performance of our key portfolio companies that contribute meaningful to our overall performance. With that in mind, the outline of today's presentation will be as follows: First, myself, and then Carel Vosloo will give an overview of the salient features of our results for the year, including a high-level recap of our key strategic priorities, which remains consistent with those that we've communicated at our recent Capital Markets Day and a sense of our progress against these. Secondly, our CFO, Neville Williams, will then unpack in more detail our results for the period. And then thirdly, as mentioned, we will then begin an update on some of our key investments, including Mediclinic, CIVH, Heineken Beverages and RCL Foods. The CFO of Mediclinic, Jurgens Myburgh, will speak to Mediclinic's results. Thereafter, and for the very first time, the CEO of Maziv, Dietlof Mare, will do the same for CIVH. And then just after that, the Managing Director and Finance Director of Heineken Beverages, Jordi Borrut -- incidentally is no relation to Jordie Barrett, All Blacks, center, no relations there as he's Spanish. And then Lucas Verwey will do the same for Heineken Beverages. And then finally, the CEO of RCL Foods, Paul Cruickshank, will provide highlights of the results I reported on the first of this month. I will then close off the presentation by looking at our areas of focus going forward before opening the floor for questions right at the end. If we move on to the performance overview. Today, I will be presenting our results showing strong earnings momentum across our portfolio, which we are very satisfied with. As I reflected on this progress, I came to the view that these outcomes are really a reflection of the resilience of our portfolio in difficult times as well as the focused execution of the strategy we set in motion 5 years ago. This journey has involved enormous challenges, but through patience and resilience, we continue to make very good progress. By the same token, it would be remiss of us not to reflect the impact of the operating environment within which we have operated in the past few years and that we continue to operate in. The environment around us remains challenging, and this is the reality that I'm sure this audience is all too familiar with. Global trade tensions, persistent geopolitical instability and muted domestic growth continues to test South African corporates. Our own portfolio companies are, of course, not immune to this. We're not operating in an island. We have spent some time, as recently as our Capital Markets Day, unpacking the macroeconomic challenges and the resulting impact on our underlying investments. So I'm not going to delve in all of these details today. While these continue -- we know that these continue to persist globally and locally. We have also seen some improvements, including some reductions in interest rates. The significant strides made in driving the structural reform agenda for Operation Vulindlela, including sustained energy availability, which we're all very pleased with, some rehabilitation of the transport logistics and some regulatory reforms. These improvements, together with the renewed and positive sentiment following the establishment of the government of National Unity, has led to an improvement in global investor sentiment towards South Africa, you can see that on some of the currency exchange rate, which -- recently, which, over time, we will believe will contribute to improved growth prospects. South Africa has shown many times that its people can muddle through these challenges and survive. Through civil society, I get the feeling that our people's patience is wearing thin with the current situation, and we can see it in the narrative in social media and also other some recent election results at the local level. All of these factors are outside of our control, but we remain conscious of and continue to assess any indirect impact that these might have on our businesses, while we also play our role in the areas we can influence and where we can provide support. Our focus remains on what is within our control, strengthening the performance of our core businesses, advancing portfolio simplification and managing our capital with discipline. I believe it is improved execution in these areas and much closer engagement of our respective management teams that underpins the results we present today, which I will touch on it a little bit later. I first want to highlight a few of these positive outcomes that this strategic focus has yielded. We have seen some notable gains in some of our key portfolio companies. OUTsurance has again delivered a standout performance. Mediclinic has made some tangible progress in its operating model review and turnaround initiatives. As you also would have seen in Rainbow's recent results announcement, the turnaround strategy execution that Marthinus and his team have been hard at work on has successfully unlocked some robust earnings and linked to that RCL Foods focused portfolio has also delivered a meaningfully improved performance. Building on this momentum in the current year, I'm excited by the progress made in the CIVH-Vodacom transaction and look very much forward to its conclusion, positioning us to unlock further shareholder value through this critical transaction for South Africa's digital future. We have also made some progress in addressing the smaller portfolio holdings. The announced unbundling of eMedia investments was a notable example and subsequent to year-end, the disposal of our remaining shares in BAT and Grindrod has also been done. Lastly, we have de-geared our balance sheet, which we believe sets us up to be more front-footed in capital allocation opportunities into the future. Very importantly, whilst we are not where we want to be yet and while some challenges persist, such as the regulatory environment in Switzerland that threatens Mediclinic sustained recovery and volume decline through aggressive pricing trends we see in the overall beverages market that impacts Heineken Beverages. The positive gains, however, are proof that our focus on the stated priorities is having a positive impact. Carel will talk a little bit more about how we continue to think about these strategic priorities later. I will now move on to our results for the period, which we are very proud of. You will recall when we presented our final results in September 2024, I said that we were not where we wanted to be, and considerable work was being done to bed down the operational performance of a number of key investments in order to drive a sustainable recovery. This morning, however, I'm pleased to be delivering our final results that show a strong performance across the board. This improvement is a reflection of the work that our executive team at our underlying investee companies in partnership with Remgro have been actively driving. For this year, under review, headline earnings increased by 38.6%. With the improved earnings, we have constantly seen better cash earnings at the center, with dividends received up by approximately 24%. And in turn, our final ordinary dividend declared is up by 34.8%. The total dividend for the year is now sitting at -- if we look at the slide, is ZAR 3.44, which is up by 30.3%. I'm also pleased to announce a special dividend of ZAR 2 per share. We have earmarked the proceeds of the sale of the BAT shares to pay this dividend to our shareholders. A significant driver of the increase in headline earnings relate to improved contributions by Mediclinic, OUTsurance, RCL Foods and Rainbow as well as significantly reduced losses by Heineken Beverages. Neville will later provide more detail around these drivers and the headline earnings numbers in his section later on. I want to reemphasize what I said earlier. While we are pleased with the strong contributions that were made by some of Remgro's investee companies, there's considerable work still to be done to improve the operational performance of some of our key investments. We also recognize that our efforts will not be easy as the market dynamics in some of our key businesses continue to be challenging. As mentioned earlier, Mediclinic continues to operate in a Swiss market that is not showing signs of easing, and volumes and pricing remain challenging across the Heineken Beverages portfolio amidst strong competition. Despite these dynamics, we remain confident in the potential for the portfolio to generate sustainable growth and cash earnings over the long term. I will now hand over to Carel to recap on our strategic priorities.
Carel Petrus Vosloo: Thank you, Jannie, and good morning, everyone. As Jannie mentioned, I will recap briefly on our progress on these strategic priorities. As Jannie said, they have not changed since we last spoke, but to briefly just mention them. The first one is active performance optimization across the portfolio. Secondly, to follow a considered capital allocation strategy. And then lastly, to lead sustainable businesses and embedding our ESG strategy across our portfolio. So to deal with each of them in turn on active performance optimization, I hope that those numbers that Jannie flashed will be evidence of good progress on this front. We are very happy that the active partnership with our management teams is yielding good results. Credit here absolutely goes to the underlying teams that deliver these earnings, and we're pleased for the partnership with all of those. And as Jannie also mentioned, certainly, the work is far from done here, but this is a big step in the right direction. Also on the optimization of the portfolio, we've had some good progress during the year, and I'll just recap on that over the next page. On considered capital allocation, Jannie has touched on all the highlights there. But again, to say that we feel there's been good progress during the year, you'll be aware that we sold down a portion of our FirstRand shares and use those proceeds to settle all of our outstanding debt. As Jannie mentioned, we will be distributing our eMedia exposure that happens next week. And then also, as Jannie mentioned, we disposed of our BAT shares after a strong recovery in that share price, and that enabled us to pay a special dividend or to propose a special dividend. Lastly, on leading sustainable businesses and ESG, really good strides have been made during this year. I'm hoping that when you see the integrated annual report that will be available next year -- next month, you'll see the improved disclosure and the progress on this front and the maturing strategy around ESG. Much of that maturing strategy has had to do with engaging with our underlying investee companies and making sure we understand the metrics that are important to each of them. This is not a one-size-fits-all solution. We've certainly identified some additional opportunities, some gaps in our approach. But I am confident that we're getting to a place where we are really embedding ESG as part of how we do business and not just a tick box and sort of disclosure exercise. Also under this banner of ESG and particularly under governance, you would know that enhancing our communication with stakeholders and specifically with investors has been something that we've committed to, and we're proud of decent strides there. As Jannie mentioned, we had our capital -- our second Capital Markets Day earlier this year. That gave us the opportunity to engage with -- I think it was around 200 investors that were there either in-person or virtually. to unpack not only the Remgro investment thesis but also delve a bit deeper into a few of our investee companies. Similarly, we've got a good panel of executives from across our portfolio assembled here this morning, and I hope that gives the opportunity to understand in greater detail the performance across the portfolio. Over the slide, looking just specifically on the transformation of the portfolio. We've been sharing a version of this slide, I think, since 2020 when this transition of the portfolio started. So maybe you've seen 10 different versions of it, and you could be forgiven at times for not being entirely sure of these arrows have been moving. Some of this progress has been frustratingly slow, but I'm very hopeful that this will be the last time that we will share this slide with you. And the one important milestone that we achieved in this last year or just shortly after year-end was the approval by the competition authorities of the CIVH-Vodacom transaction. I don't want to jinx this deal. It's still subject to ICASA approval, which we hope will be imminently in hand, but a great milestone, and Dietlof will later talk about what that transaction means for CIVH. We are very excited about the high road, not only for us as investors, but certainly also for the customers of CIVH. I'm not going to talk about any of these other transactions. I think most of them are now firmly in the rearview mirror, and the executives from these companies are here with us today. So they'll give more color on how these businesses are coming along. The one exception perhaps is Rainbow. But as Jannie mentioned, Rainbow has had a really strong start to its life as an independently listed company. I think if they carry on, on this track, then we'll have to find a start on this agenda for Marthinus next year as well. So then just looking at the portfolio performance. Jannie mentioned this, and Neville is going to delve into it in more detail. So I won't steal Neville's thunder. But just on the schematic, you can see that more than 80% of the portfolio has choked up positive earnings momentum in the last year. That sort of range from modest single-digit growth on the right -- the left-hand side of that schematic to very robust growth here on the right-hand side. I think what's particularly pleasing is that some of those companies that contributed very meaningful increases in earnings were probably the companies that a couple of years ago or even as recently as a year ago, we would have said is sort of in the intensive care award, but they are all now in different stages of recovery and really pleased about those contributions to the growth in our earnings. It's almost easier to talk here about the names that are not on the slide. If you say 80% of the companies enjoyed improving performance, then what's the 20% that's not here? And there are two notable companies absent from the schematic. The one would be CIVH. And again, we are very encouraged by the underlying performance improvement at CIVH, but there was interest rate derivative that caused the downwards adjustment to earnings, which resulted in a negative headline earnings result for the year, but the operating performance has got good forward momentum. And the second one would be Total. Again, underlying performance of Total was healthy. But again, there was a stock revaluation adjustment that resulted in the headline result being down for the year. But again, both of those companies, good underlying momentum. And if you had to add that to the 80%, you'd be comfortably ahead of 90%. We realize this will not be the case every year. There will be ups and downs. As Jannie also mentioned, the work is far from done. We know there's much more earnings potential in the portfolio than what we're showing now. But certainly, as I mentioned, a step in the right direction. Then the last slide I want to talk about is just very briefly on capital allocation. We have showed you a version of this slide before. And what we have here is the different priorities of usage of capital for Remgro and also some commentary on our current posture. As we shared with you before, the highest priority for us when it comes to capital allocation is making sure that we've got capital available to pay the debt on our own balance sheet. On that front, I think we're in a good place. You see we give it a green tick or a green blob there. We've fully repaid our debt in the current year. And then secondly, and equally importantly, making sure that we can provide resilience to our portfolio companies and support them with capital when they need it. On that front, again, with improved performance across the portfolio and also the CIVH-Vodacom transaction, which is looking very promising and hopefully, imminently will be approved, we think there's a stronger foundation there as well. So if the foundation in those first two priorities are secured, it does allow us to adopt a somewhat more front-footed posture on the alternative uses for capital, and we've got those in those next sort of four blocks. And as we say, these priorities are dynamic and informed by the specifics of the situation as it unfolds. But certainly, on the cash dividends front, as Jannie showed you, a decent increase in our dividends. There was also the special dividend following the disposal of BAT. Share repurchases, we haven't undertaken any further repurchases this year, but that remains compelling given the discount to INAV. And then follow-on or new investments, obviously, something we remain keenly on the lookout for. We're not giving you any specific color here on how we rank those priorities between those four. I can reassure you this is a topic of live debate amongst the executives and at the Board, and we're very thoughtful about the implications for Remgro and for our shareholders on the trade-offs that we make here, both implications in the short term and the longer term. So this is a live debate and something we'll continue to talk about. So thank you very much. And with that, I will hand over to Neville.
Neville Williams: Thank you, Carel, And good morning, everyone. After a challenging FY 2024, the theme for FY '25 is a sustainable momentum in headline earnings growth year-on-year with over 80%, as Carel mentioned, also now of the Remgro's portfolio achieving headline earnings growth. So for the year under review, Remgro's headline earnings increased by 38.6% from ZAR 5.6 billion to ZAR 7.8 billion, while headline earnings per share increased by 38.4% from ZAR 10.18 to ZAR 14.09. The earnings growth momentum experienced in the first half of the year under review continued during the second half, culminating in the 39% increase in headline earnings. If we exclude the negative impact of significant corporate actions, which were implemented during the previous financial years, this year amounting to ZAR 140 million. And you will see on the right-hand side of the graph, the ZAR 140 million versus the ZAR 766 million in the comparative year. And on the left-hand side, you will see the ZAR 766 million, the adjusted headline earnings increased by 24%. And I think this increase provides a better assessment of the underlying financial and operational performance of the portfolio. The graph also depicts an overview of the main drivers of the increase in headline earnings, and this can be summarized as follows: Firstly, improved operational performances from the majority of the investee companies, of which the most significant are increased contribution from Mediclinic, a positive impact of ZAR 362 million this year. OUTsurance Group positive ZAR 318 million. Rainbow Chicken up by ZAR 324 million. RCL Foods, their contribution increased by ZAR 264 million. Then Heineken Beverages, excluding the Heineken IFRS 3 impact, returning to profitability, and this was driven by volume growth and margin recovery. And it's a positive swing of ZAR 406 million this year. However, these gains were partly offset by lower contributions from TotalEnergies, a negative ZAR 359 million, mainly due to higher negative stock revaluations as well as lower dividends from Momentum, a drop of ZAR 160 million following its disposal. Secondly, the positive impact on headline earnings of lower finance costs amounting to ZAR 403 million due to the redemption of the preference shares. So we will provide more detail on these operational results during the presentation. This graph provides an overview of the significant changes in the valuation outcome of our unlisted investments as well as the movement in the market values of our listed investments. The main drivers impacting positively on the growth in INAV are the growth in market values of listed investments. You will see there in the middle of the graph, OUTsurance market value increased by 69%, and that represents approximately ZAR 27 per Remgro share. Discovery is up by 59% or approximately ZAR 6 per Remgro share. The net cash increased by ZAR 4 billion, mainly due to the proceeds of the sale of the FirstRand shares as well as the redemption of the preference shares amounting to ZAR 2.5 billion. The following graphs show the movement in the valuations and multiples of the five largest unlisted investments in Remgro's portfolio. These investments contribute just over 45% of Remgro's investment portfolio, representing approximately 82% of the unlisted portfolio. So the top five represents 82% of the unlisted portfolio. These graphs show all the multiples decreasing, reflecting both earnings recovery, growth of the assets and we believe an appropriately conservative valuation approach. The improved performance has the multiples reducing over time as the businesses increasingly start to deliver the earnings that underpin our valuations with the multiples also aligning to relevant market comparables. You will see that if you look at the slides per pillar that in addition to the intrinsic value and headline earnings disclosure per pillar, we also disclosed the cash dividends received for the financial year as well as the last 12 months headline earnings and dividend yield for improved transparency. The [ healthcare ] platform consisting of Mediclinic is the single biggest investment in Remgro's portfolio and contributes approximately 25% to INAV and 30% to headline earnings. Mediclinic is valued on a sum of the parts basis with a DCF underpinned of the business plans of the three regions as updated during the year, also moderated by a multiple-based market approach applicable to each region. The valuation benefited slightly from lower weighted average cost of capital in the South Africa and Switzerland against a slightly higher WACC in the Middle East. This is an independent valuation conducted by Deloitte as in the prior three periods. In dollar terms, the valuation increased by 4.7% year-on-year and 1.8% in rand terms. The valuation increase represents good delivery against this plan with pleasing performance across the business. Jurgens will expand on this later, but, in short, Middle East is a promising growth story. South Africa, a stable and consistent performer and Switzerland is making good progress on its recovery plan. The implied trailing EV/EBITDA multiple of 9.9x, and that's calculated with reference to Mediclinic's March 2025 published results and is a buildup of the three regions that are reflective of the relevant regions' particular dynamics and aligned to relevant peers in those regions. Jurgens will unpack Mediclinic's results later in the presentation. This platform consists of RCL Foods, Rainbow, Heine-Bev, Siqalo and Capevin and contributes approximately 15% to INAV and 26% to headline earnings with improved contributions from RCL Foods, Heine-Bev, Siqalo as well as Rainbow. Dividends contribution also improved due to the contributions by RCL Foods, Siqalo and Capevin compared to the comparative period. Paul will elaborate in more detail on RCL Foods results later in the presentation. If you look at Rainbow's results, Rainbow listed on the 1st of July 2024. The contribution by Rainbow increased substantially to ZAR 469 million from ZAR 145 million in the comparative period. Rainbow's revenue increased by 9%, and that was driven by a stronger sales performance, up 9.6% in the Chicken division, translating into an EBIT increase of approximately 300%. This strong financial performance was driven by enhanced capacity at Hammarsdale, better product mix and channel diversification with strategic customers. There was also additional improvement due to the enhanced agricultural and operational performance, lower commodity input costs and reduced expenses from loadshedding and the Avian Influenza. Further detail is included in Rainbow's results, which were published on the 28th of August. If you look at Heine-Bev, just some notes on Heine-Bev valuation. Remgro's valuation for its 18.8% interest in Heine-Bev decreased by 4.7% year-on-year. The slight decline in valuation is attributed to a combination of factors, including the continued constrained consumer environment in a highly competitive market across the categories within which Heine-Bev operates and a decrease in the terminal value growth rate as part of the continued process to standardize the valuation approach to all Remgro's unlisted valuations. The DCF valuation benefited slightly from a reduced WACC and the implied EV/EBITDA multiple of 9.6x compares favorably to the observed global peer set average multiple. Lucas and Jordi will elaborate in more detail on Heine-Bev's results later in the presentation. Siqalo Foods, if you look at the valuation there, the valuation increased by 5.1% year-on-year. This valuation is in the context of a persistently challenging trading environment marked by ongoing commodity cost pressures and constrained consumer spending. The valuation benefited from a slightly lower WACC with this benefit being offset by slightly moderated financial forecast and terminal value growth rate. The implied EV/EBITDA multiple of 8.8x compares favorably to the peer set considering Remgro's 100% control of Siqalo. From a results perspective, Siqalo Foods' headline earnings contribution amounts to ZAR 467 million, representing an increase of 3.3%. The trading environment showed signs of recovery during the period under review. And Siqalo was able to offset inflationary cost pressures through a focused savings agenda, and this allowed the business to drive profitable volume growth, resulting in a 1.1% increase in volumes and a 1.7% increase in operational EBITDA for the period. So overall, a pleasing set of results in a challenging trading environment. The Financial Services platform contributes 23% to INAV, 19% to headline earnings and 30% to dividends received at the center, mainly from OUTsurance. OUTsurance is the most significant investment here. Their contribution to headline earnings increased by 29% to ZAR 1.4 billion, and that was mainly due to OUTsurance Holdings normalized earnings increasing by 34%. The increase in earnings was driven by strong operational performances by Youi and OUTsurance South Africa. They released their year-end results on the 15th of September 2025. Infrastructure platform, just some notes on the CIVH valuation. The valuation methodology used is the sum of the past parts based on DCF. Valuation increased by 9% year-on-year to ZAR 15.8 billion. We continue to base the CIVH valuation on the longer-term business plans of the underlying operations, which are substantially unchanged year-on-year, but with operating assumptions refined where appropriate. Just to mention that this valuation does not include the addition of the assets and cash expected to be acquired by Maziv as part of the Vodacom transaction. Although the combined CIVH enterprise value benefited from a decrease in the WACC applied to a slightly moderated forecast for DFA and Vumatel, this increase was partially offset by a slight increase in the net debt with the overall equity value of CIVH before the application of discounts still up. The discounts applied to the equity value in absolute terms were largely in line with the prior year. The Remgro valuation implies a trailing EV/EBITDA multiple of 10.2x, well below the peer set multiple of 11.4x. This valuation of ZAR 15.8 billion is at a discount of approximately 25% to the value at which the Vodacom transaction was ultimately concluded. Dietlof will elaborate in more detail on CIVH's results in the presentation. Industrial platform or portfolio companies are mostly profitable on a sustainable basis and consistent dividend payers with high cash conversion ratios as seen in the contribution to headline earnings and dividends received with attractive earnings yield and dividend yields. The valuations are also not very demanding. Air Products valuation increased by 5.3% to ZAR 6.3 billion and is largely a result of an increase in free cash flow due to continued cost efficiency, the expected solid operational performance and reduced forecast risk assumptions. Total's valuation increased by 22% to ZAR 4.2 billion. The 2025 forecast shows improved cash flow driven by strong network fuel margins, annual fixed cost reductions, annual CapEx cuts, however, negatively impacted by lower sales volume. The decrease in WACC and higher net cash boosted the valuation, partly offset by a marketability discount applied for the first time now. If you look at the results, Air Products contribution to headline earnings increased by 13.6% to ZAR 643 million. Demand from large tonnage gas customers was generally stable, while the Packaged Gases business performed well. coupled with cost efficiency improvements leading to improvement in profitability. The contribution to Remgro's headline earnings by Total is ZAR 194 million, down from a profit of ZAR 553 million in 2024. Excluding the negative stock revaluations, TotalEnergies' contribution increased actually by 20%, mainly due to the scaling down of loss-making refining operations towards the second half of 2024 calendar year, partially offset by supply chain disruptions. The cash at the center increased by ZAR 1.5 billion to ZAR 8.3 billion. The net cash increased by ZAR 4 billion over the reporting period due to the redemption of the preference shares during the year. Then just on the dividends received evolution, the dividends from investee companies increased to ZAR 3.8 billion, representing a 24% increase year-on-year. And this increase was mainly driven by dividends received of ZAR 393 million from RCL Foods, no dividends was received in the previous financial year, and an increase in ordinary dividend of ZAR 254 million received from OUTsurance. OUTsurance also paid a special dividend, of which Remgro received ZAR 188 million. The cash flow bridge, the main driver of sustainable cash earnings at the center is dividends received this year amounting to ZAR 3.8 billion. We've also sold 31 million FirstRand shares for gross proceeds of ZAR 2.5 billion and utilized ZAR 2.5 billion to redeem the last tranche of the preference shares in December '24. Then final and the ordinary dividend. The Board declared a final ordinary dividend of ZAR 2.48 per share, up by 34.8% from the comparative period. So the total ordinary dividend for 2025, therefore, amounts to ZAR 3.44 per share, an increase of ZAR 0.33. And as Jannie mentioned, the Board also declared a special dividend, which they will utilize the proceeds of the sale of the BAT shares, amounting to ZAR 1.2 billion. So that brings me to the end of my presentation, and I will now hand over to Jurgens to talk to Mediclinic results.
Petrus Myburgh: Thank you very much, Neville. Good morning, everyone, and thank you very much for your time and for the opportunity. To frame the discussion on Mediclinic, I'll provide a brief overview in industry-wide dynamics, with it also opportunities for new revenue streams. Our strategy is simply aimed at adapting our organization to this changing healthcare environment and preparing to take advantage of these emerging opportunities. To this end, we've already made significant strides in expanding our services to encompass prevention, treatment recovery and enhancement. This past year, we amplified our efforts to enhance operational excellence and adapt to the changing needs of our clients. We continue to focus our efforts around three key strategic goals. Firstly, to strengthen the core of the business, which includes adding new revenue streams, [Technical Difficulty] of care and responding to external pressures through enhanced efficiency. Our second goal is to focus on care, which involves focus on -- and to transform into a client-centered organization by ensuring our clinical care is at the center of all that we do. And our third strategic goal is differentiation on service, which is aimed at ensuring a long-term sustainable competitive advantage through robust service differentiation. With reference to the key priorities discussed at the previous results presentation, we continue to make good progress. In our results for the year ended 31 March 2025, which I'll discuss in more detail in a minute, we've seen strong volume growth across all three divisions and client settings. This is a testament to the operational capabilities of our teams as well as the strategic response to opportunities and challenges in our environment. Alongside strategy execution, we're prioritizing performance improvement through improved efficiency. As communicated during the Capital Markets Day, we're in the process of an operating model review aimed at inter alia driving efficiency, empowering facilities to pursue growth and being agile to respond to market changes. We are targeting total savings of $100 million by the end of our financial year 2027. To achieve this, each division as well as group has set clear objectives through defined initiatives over a 1- and 2-year horizon. This important project continues to receive group-wide attention and oversight. By way of tangible examples, we've already implemented streamlined and delayed governance and reduced our administrative staff component. Through a combination of growth and efficiency, together with disciplined capital allocation, we've reduced leverage and improved return on invested capital, with the latter admittedly not yet where we wanted to be, but seeing incremental improvement as indicated before. Going forward, the pressures of the healthcare environment will continue to put focus on efficiencies and our ability to adapt our cost base accordingly. We embrace this challenge with our disciplined approach to operating model review and actively seeking new revenue streams and finding ways of linking those activities to form healthcare ecosystems. To go into more detail on each of these priorities with each division in turn and starting with Switzerland, we continue to make progress both strategically and operationally to drive an improvement in the business. Our turnaround plan delivered CHF 25 million in savings in FY '25 with an aggregate target exceeding CHF 60 million. We've also made good progress in negotiations with insurers, although our efforts have been delayed in Western Switzerland through complicated and protracted negotiations on doctors' tariffs, which has impacted the entire industry in that region and with that, our FY '26 year-to-date performance. We expect this matter to be resolved in the next couple of months, following which we're targeting a normalization of our operations in this key part of the business. This is another instance where I think we have benefited greatly from our partnership with MSC. In addition to targeting operational efficiencies, we will continue to assess the appropriateness of our hospital portfolio in Switzerland as evidenced by the intended closure of Clinic Rosenberg this month, transferring as many of our activities as possible to nearby [ Stephanshorn ]. From a strategic perspective, we've set our sights on systemic relevance by building our business on delivery regions, driving at clinical powerhouses supported by medium-sized hospital and outpatient facilities, with the latter seen as an area of possible organic and/or acquisitive growth. Turning to the Southern African business. Our Southern African business continues to drive its process of optimization, digitalization and expansion across the continuum of care. Within the context of a challenging economic environment, we have seen strong volume growth on the back of selective network participation. We will continue to be judicious in our engagement with insurers, seeking a balance between volume and pricing. Our related business has now grown to the point of contributing the economics of a medium-sized hospital. We continue to see this as an opportunity to improve our services to clients through broadening our scope and with that increasing and diversifying our revenue. Our core systems replacement project continues to progress under the stewardship of a group-wide oversight to ensure learnings are shared between work streams. We expect this project to complete by the end of our financial year '28. We continue to see opportunities for expansion in our existing facilities and related businesses. This, together with our focus on cost management and efficiencies, will drive the strategic and operational delivery of our Southern African business in the coming years. Turning then to the Middle East, which continues to be a growth market for us. Within our hospitals, we've made positive changes to the specialty mix, improving services to our clients and incrementally increasing revenue. In addition, we followed a regional approach to building powerhouse hospitals, creating leading units or hospitals within the cluster. This improves quality of care and clinical outcomes and ultimately drives volumes for us. In June, we announced the consolidation of our two hospitals in the city of Abu Dhabi, Mediclinic Al Noor Hospital and Mediclinic Airport Hospital, into a single-integrated flagship-medical powerhouse at an expanded Airport Road campus. This strategic integration involves phasing out operations at Mediclinic Al Noor Hospital, which closed its doors earlier this month, and transferring clinical services and expertise to the enhanced Mediclinic Airport Road Hospital location, further strengthening operational efficiency and service delivery. The new consolidated 265-bed facility supported by an additional AED 122 million investment represents a significant commitment to clinical excellence, advanced infrastructure and superior patient experience. This period of consolidation will have a modest impact on our operating and financial performance in the medium term as we transition doctors and staff between facilities but is expected to deliver significant value in the medium to long term. Turning then to our results for financial year ended 31 March 2025 and starting with the group. The group delivered good results against the backdrop of persistently challenging operating environment, driven by strong volume growth across all divisions. Group revenue was up 5% at $4.8 billion and up 4% in constant currency terms. Inpatient admissions and day cases grew by 1.5% and 3.2%, respectively. Adjusted EBITDA was up 9% at $737 million. The group's adjusted EBITDA margin was 15.3%, reflecting good revenue growth and cost efficiency, partially offset by higher consumable supply costs, mainly because of ongoing mix changes. The increase in adjusted EBITDA, with broadly stable depreciation and amortization charges and finance costs, resulted in an adjusted earnings uplift of 21%. Cash and cash equivalents was $737 million at the end of the year, reflecting a high cash conversion of 104%, which is marginally ahead of our targeted 90% to 100%, mainly due to improved collections in Switzerland and the Middle East. The group's leverage ratio decreased to 3.1x at 31 March 2025 from 3.7x a year ago. With net incurred debt decreasing by $184 million, to just $1.35 billion -- just over $1.3 billion, I should say. Looking then at each division in turn and starting with Switzerland, where we continue to build the resilience that I outlined earlier. Revenue for the period increased by 2% to CHF 1.9 billion, reflecting good growth in inpatient admissions of 2.2%. The general insurance mix was marginally higher at 52.6% as growth in generally insured admissions exceeded that of supplementary insurance. The revenue growth delivered a 4% increase in adjusted EBITDA to CHF 266 million at an adjusted EBITDA margin of 13.7%, reflecting disciplined cost management, offset by higher consumable and supply costs driven by increased volumes and mix changes. As part of our year-end closing, we considered changes in the market and regulatory environment in Switzerland that affected key inputs to the estimate of future cash flows and earnings. This gave rise to impairment charges recorded against properties, equipment and vehicles of $195 million and against intangible assets of $84 million. In year-to-date trading, Switzerland, as I referenced earlier, has been impacted by the ongoing negotiations on doctor tariffs in Western Switzerland, affecting our hospitals, in particularly Geneva and Lausanne. Considering the anticipated resolution of this dispute, together with the good volume growth across the rest of the business and continued progress on our turnaround project, we're targeting low single-digit revenue growth and continued improvement in EBITDA margins in FY '26. Turning our attention to Southern Africa. Revenue for the period increased by 8% to ZAR 22.4 billion in a challenging economic environment. Compared with the prior year, paid patient days increased by 1.2% with day cases increasing by 3.2%. Occupancy improved to average 67.7% as admissions growth was partially offset by a 0.3% reduction in average length of stay. Average revenue per bed day was up 6.5% compared to the prior year, reflecting year-on-year price increases and also specialty mix changes. Adjusted EBITDA increased by 8% to ZAR 4.1 billion, resulting in adjusted EBITDA margin of 18.3%. In year-to-date trading, the division has continued to see steady growth in bed days sold and this, together with disciplined cost management, is targeted at delivering revenue growth ahead of inflation and an improvement in EBITDA margins. Finally, looking at the Middle East, where revenue growth for the period increased by 5% to AED 5.1 billion, driven by continued growth in client activity and increased pharmacy revenue. Inpatient admissions and day cases were up 4.8% and 3.5%, respectively, and outpatient cases, which contributes approximately 65% to revenue, increased by 1%. Adjusted EBITDA increased by 10% to AED 788 million, driven by revenue growth and strong cost discipline. The adjusted EBITDA margin increased to 15.4%. In year-to-date trading, the Middle East has experienced strong revenue and EBITDA growth, albeit on a comparative period that was impacted by flooding in April 2024. This strong growth is tempered by ongoing regulatory changes and a traditional second half seasonality. Excluding the consolidation in Abu Dhabi City that I referenced earlier, we target revenue growth in the mid- to upper-single digits, moderated at a divisional level to mid- to lower-single digits by the impact of the closing of the Al Noor Hospital and an incremental improvement in our EBITDA margin. And then to wrap up on Mediclinic. In summary, we remain focused on building out our revenue streams and improving operating performance. This will provide us with a robust position from which to execute on our strategic objectives to compete in a changing environment, take advantage of the opportunities and creating an ecosystem that enhances the quality of life. And with that, I'd like to hand over to Dietlof Mare to go through CIVH.
Dietlof Mare: Thank you, Jurgens. Good morning, everybody. I would like to start the presentation focusing on a few strategic points. Then I would like to go into the operations and the market overview, touch on the financial performance and then the main key initiatives we're planning in the next short to medium term. If you look at the Maziv's strategy, we're looking at unlocking scale to deliver South Africa's fiber future. We're sitting in a country where the digital divide is big, and we believe that we can actually make a huge impact in closing that digital divide. We're doing that by combining enterprise stability on the one segment with 15,000 kilometers of metro fiber in covering basically all the main cities in South Africa as well as consumer growth where we cover basically 1.2 million homes in South Africa in the low-LSM and in the high-LSM areas. We believe that the opportunity is on scale expansion, and that's why strategically, we had to look at different ways of expanding this network across South Africa. Supported by the Vodacom transaction, Vodacom's investment will strengthen the balance sheet of Maziv. There's cash that will flow into Maziv. And with that cash, obviously, we will pay back some of the debt in the organization. The second part of the transaction is integrating the two assets that Vodacom will contribute. The assets will be fiber-to-the-home assets of 165,000 homes and then also 5,000 kilometers of metro fiber. And these are all revenue-generating assets that will immediately contribute to the EBITDA growth. Both debt-to-EBITDA then will obviously increase -- reduce and that will then allow us to have access to more capital, and we can expand and scale the network, building homes across -- and network across South Africa. The transaction also committed to -- we committed to 1 million homes that we will build over the next 5 years, spending committed to ZAR 9 billion of new infrastructure that we will build across South Africa. So very positive, I think, for the group, opens up and unlocks a lot of opportunities, driving the strategic objective of scale and expansion, closing that digital divide. From a DFA and enterprise point of view, the strategy for this year was to redesign and re-architecture and upgrade the network. So we focus on quality. We focused on customer experience, giving services to customers quicker from order to delivery date. And I think that was the big focus to differentiate on quality service, reliable service, redundancy and a future-proof network that can compete with the best in the world. We still, on top of that, connected 5,000 new -- net new enterprise links, a little bit lower than last year, but the focus was still on actually expanding this network and redesigning the architecture. From a Vumatel point of view, the strategy was not built this year. We only built 36,000 homes this year. At peak, 2, 3 years ago, we were building that a month. But this year, we focused more on the connectivity side. We could focus on the revenue-generating side of the asset, getting 133,000 net new subscribers onto the network versus the 106,000 previous year, which absolutely drives the strategy for us this year. The CapEx that we spent was on connectivity, last-mile connectivity, taking the homes passed and actually getting an active customer to the endpoint generating revenue. If I deep dive into Vumatel a little bit and look at the market, I think it was a phenomenal result. We increased our uptake from 36% to 42% across the blended base. Stable core growth. We've seen huge expansion and growth in reach, and then we're seeing the opportunities in the key market. Three segments in Vumatel core market, 2.2 million homes. These are households with incomes more than ZAR 30,000 monthly rent per month. The 2.2 million is -- market has matured. It's penetrated. There's actually 33% -- 34% of this market is overbuilt. And we have a market share of 41% of this market. If you take that and look at that on the FNOs in the market, there's more than 70 FNOs in the market, of which 10 of those FNOs are substantial big FNOs. We're still sitting with a 41% market in this segment. And that's because of first-mover advantage and the knowledge of deployment -- early deployment of network in South Africa. On the uptake side, we saw a 2% uptake, taking the uptake to 45%, which is very positive. And we're also seeing our subscriber numbers growing by 4% year-on-year, reaching over 400,000 active subscribers on the network, roughly 900,000 homes in this market -- on the Vuma network. From a reach point of view, 4.8 million market size. These are homes between ZAR 5,000 and ZAR 30,000 monthly rent income per month. This is a growth engine at this point. Small overbuilt, only 1.7 million of these 4.8 million homes have a fiber line that passes that. We have got a 55% market share up to -- between a 55% and a 60% market share in this market. 1.1 million homes that we've built, not a lot of [ built ] happening during the year. A small portion was built that was just closing off projects. But what we've seen that we believe is phenomenal was, in line with the uptake strategy, we saw a growth of 32% on subscribers for the full year, taking it to 443,000 active customers on the network, bigger than the core network at this point, which is for us a big achievement. Uptake also 9%, up year-on-year from 31% to 40%, which is quite a remarkable result. On the key market, this is the untouched market. This is where the scale will happen, 9.7 million homes, very low income, monthly income, under ZAR 5,000 rent per household. Big, large opportunity remains. And if we want to close the digital divide, this is where we have to make the impact. Only 200,000 of these homes have got a fiber line to it, or option of a fiber line to it. We got a market share of 13% of this. And if you go look at the figures, it's still small amounts, only 30,000 homes passed. But more remarkable is the uptake ratios on this is, 43.6%, which is the highest of all our segments. And the time to get this penetration was also the quickest ever, meaning that the need is there for people to be connected in these segments. And I also think this is the opportunity. So we're building our network in Vumatel on first-mover advantage. I think that is critical. We've got 2.1 million homes covered. Two focus areas, drive uptake in the short to medium term and then also expand into these opportunistic markets where we can drive future growth and change South Africa. From a DFA enterprise and carrier point of view, this is the anchor business. It's critical to the 5G rollout. And as we see 5G is expanding, a lot of excitement is around the 5G densification around the world actually and also in South Africa. And fiber to the site is very critical. We've got 47,000 sites in South Africa linked to all the MNOs and the fixed wireless access providers. And we're playing a big part in that. Remember, that's how DFA start, was following the towers and then we expanded from towers into metro into connecting the businesses. These are long-term contracts with MNOs and fixed wireless access providers, which is a very secure business. It's an anchor business for us, long-term 15-year, 20-year contracts, high ARPU and high revenue-generation assets. It's crucial that we enable the 5G rollout and basically 1/3 of these sites are still linked to microwave and the opportunity is there then to obviously convert these microwave sites to fiber in the future. We just have to get the model right. So 12,500 sites connected, 2% year-on-year growth, and we're seeing very stable ARPU, long-term contract scenario in this segment. Business connectivity, 424,000 business connections across South Africa. And we're approaching this in two ways, tying up the metro fiber, linking up businesses and linking up the infrastructure within the metros itself. And this enables us then to obviously get to the fiber to the sites, fiber to the business and then fiber to the homes. And as you expand the fiber to the sites, it obviously opens up more areas to actually connect businesses and also fiber-to-the-home sites in more rural and remote areas in South Africa. We've seen a strong small, medium and enterprise demand for affordable business services where people are moving away from a best effort service, more to a quality service. And that's why we decided to upgrade the network, redesign the network and re-architecture the network to actually address this segment within South Africa because we believe that in time, every business will have a quality service linked to that business because of connectivity and the importance of connectivity to do business in South Africa and compete with the rest of the world. From a financial point of view, if you look at the year ended 31st of March 2025, strong results from Vumatel. You're looking at revenue growing 8% year-on-year to ZAR 3.8 billion. EBITDA growing 11% to ZAR 2.7 billion, very good EBITDA margins within the business. You're seeing operating earnings growing 15% to ZAR 1.3 billion, and you're seeing very good operating leverage coming through in the organization. Headline earnings, 46%, better than the previous year, still ZAR 202 million negative, but you're seeing this trend going positive, and we believe this trend will continue in the near future, which is quite positive. From a DFA carrier and enterprise point of view, revenue 2% up, strong solid revenue. EBITDA flat, and the reason for this was the maintenance and the upgrades and the teams that we had to push into the market into Gauteng specifically to re-architecture and build these networks. We had to do that with additional security because we could only do the upgrades and rehabilitation at night. So we had to put big security teams next to the technicians to actually execute on this. We believe that this will normalize, and this will return to normal in the foreseeable future, in the near future, and we will turn back to our EBITDA growth year-on-year from next year. Operating earnings, 4%, up to ZAR 1.1 billion. And then we're also seeing headline earnings 7%, up to ZAR 370 million year-on-year. Community Investment, CIVH, I think underpinned by the two operating companies: revenue up 6%, to ZAR 6.7 billion; EBITDA 9%, up to ZAR 4.6 billion; operating earnings 11%, operating leverage good. And then you're seeing headline earnings negative 22%, and that's mainly due to interest and then also project costs on the Vodacom and the EUROTEL deal, and we believe that will normalize in the near future. From a cash flow point of view, very, very strong cash generation. We're seeing ZAR 1.5 billion additional cash generated for the year-on-year. So very strong net cash surplus, ZAR 620 million, and that is driven on basically through three pillars. We're seeing EBITDA growth, year-on-year EBITDA growth positive. We've seen very prudent, smart CapEx spend on revenue-generating assets, getting connections up, getting uptake up, getting the penetration to generate revenue. And then, working capital discipline. I think a huge effort within the organization to get the working capital discipline in and that we believe will continue going forward, but a very good story on generating ZAR 1.5 billion additional cash for the year. Corporate activities linked to the strategy, expanding scale, strengthening the capital base to accelerate bridging the digital device. And I think that's the critical thing for us as a group. Two corporate activities that's in process, Vodacom investment in Maziv. I think everybody has read about this in the newspapers for the last 3 years, but conditional approval granted by the Competition Commission Appeal Court. I think if you look at the conditions, I think there's a very good balance between the public interest, benefits and the competition concerns, and a lot of work went into actually aligning those two elements of the deal. ICASA still has to approve this. It's pending ICASA. We don't believe that will take too long, and we're planning to actually get the implementation -- targeted implementation date in on the 1st of November 2025. That obviously will kick off a few actions. We will have to rapidly integrate the assets to maximize EBITDA. We've got these two assets, 5,000 kilometers of metro fiber that we will have to integrate into the network. We got 165,000, nearly 3,000 kilometers of fiber-to-the-home assets that we will have to integrate as quickly as possible. And we will have to execute this as quick as possible because immediately, we will see a revenue and EBITDA uplift because these are revenue-generating assets. The key terms of the deal, Maziv equity value was valued at ZAR 36 billion that included the EUROTEL stake. Vodacom will contribute ZAR 6.1 billion in cash into Maziv and then ZAR 4.9 billion fiber assets, which has been the transfer assets and the fiber-to-the-home assets. A pre-implementation dividend of about ZAR 4.2 billion will be payable to CIVH, and then Vodacom will hold 30% initially, with shares in Maziv, with the option then to increase to 34.95% in future. Acquisition of the additional stake in EUROTEL, it's also very key for us as a strategic pillar within the organization, linking up to scale and then also accelerating the bridge of the digital divide. Competition Commission recommended this for approval and referred this then to the competition tribunal where we have to then follow the normal process. And we believe that is being kicked off at this point. We're waiting for a date for the tribunal still, but I believe that will be fast tracked. And soon, we will actually be at a position where we can give more detail on what's happening there. I think the significance of this deal is the assets in EUROTEL complements the Vumatel assets, and it builds out our scale. So it covers underserved markets where we are not, as a Vumatel, at this point, but it opens up nearly 500 towns or more than 500 towns across South Africa where we can then start building out these different solutions we have on the fiber and connecting different types of LSM households. I think built on this, if you look at our network, you look at our uptake, and you look at the structures, you look at how we're actually driving the scale, I think this is a very good future. There's a very good future for the organization to grow to scale and to close the digital divide and connect South Africa. Thank you, and I would like to hand over to Paul from RCL.
Jordi Borrut: I think we will start from Heineken Beverages, right? So thanks, James. And allow me to, in the next few minutes, present the performance of Heineken Beverages and its finance together with my CFO, Lucas Verwey. So moving to the recap of the strategic rationale. It is important to reflect on the fact that this integration of -- with the 3 companies provides a strong opportunity for value creation and growth. First, because it allows us to tap into growing markets in the Southern and Eastern Africa with a combined population of nearly 300 million inhabitants, including South Africa. And secondly, because it combines -- it complements beautifully the portfolios of the 3 companies, allowing us to position #1 or 2 brands in all categories, ciders, beer, wines and spirits with a stronger scale in South Africa, which none of the 2 companies had priorly, giving us a challenger opportunity that we did not have before. It also leverages the strengths of both companies, the global scale, best practices, portfolio partnerships and sponsorships of Heineken with a deep expertise of Distell in the Beyond beer portfolio, which suits the Heineken recent global ambition to expand in Beyond beer. Fair to say that the disruption phase is now at its end. It's been 2 years since the integration. So we've changed and moved from a focus on systems integration and structures much more into market expansion, customers and consumers. Moving to the next slide. So talking about focus on the market. In the recent momentum in the last 6 months, we've seen an improved momentum of our business despite the fact that Jannie mentioned that the market context is challenging with a slower alcohol growth and also the entry of low-cost players that come at low entry points. Nevertheless, we've been able to turn around our beer performance with share stabilization and some gains in beer, which was a key focus for us. A significant improved margins across the 4 categories with a combination of moderate pricing and strong efforts in our variable expenses, fixed expenses below inflation, which is a testimony of the efficiencies and synergies that we can still tap, thanks to the combination of the 3 companies. From a growth perspective, what you see is that the companies in Namibia is showing -- continues to show a very resilient and solid market share, growth and margin expansion. And we continue a very strong growth also in international markets with a stronger momentum, as I mentioned, in South Africa. If we move to the next one, specifically on South Africa, what you see is our key priorities for South Africa remain unchanged. The first one is to win in beer, and that's because our total alcohol share in South Africa, which is above 30%, is not translated yet in beer, where we are -- market share is below 20%. So we've got a significant opportunity to grow in beer, and we're well positioned now with the integration and the brands that we have and also the route to market to do so. The second one is to build brands with pricing power, which is a reflection of our intent to focus amongst the 60 brands that we currently sell and distribute into 13 of them to invest behind these 13 brands in significantly more ABTL to make sure that we have the strength of the brand and the pricing power behind the brands, whilst we continue to trade with the rest of the brands. And those are brands like Savanna, Heineken, Bernini, Amarula, just to mention a few. The third one is to create a direct connection with our end customers, leveraging digitization, but as well as joint business plan with key customers now that we have the scale and the opportunity for growth for these customers as joint business we can see much better opportunities to joint business plan and to co-create growth with these key customers. The fourth one is the operational efficiency. As I mentioned before, both in variable and fixed expenses, we are seeing a significant effort, and we will continue to do so in the years to come. All that cemented with our winning competitive spirit, which is a key enabler, and it talks about the resilience and the engagement of our employees, we've seen post-integration over the last 2 years and improved in our engagement scores, we've measured that for the last 2 years 4 times. And in the 4 times, we've seen improved engagement, which is a testimony of the better momentum and mood of the company. I'll now pass over to Lucas to talk to us more detail on the financials.
Lucas Verwey: Thanks, Jordi. Good morning, everyone. This slide shows the financial view of the Heineken Beverages Group, including Namibia Breweries. The financial overview for the 12 months ending June '25 shows very solid progress. Revenue grew by 8%, reaching over ZAR 55 billion, while the reported headline loss narrowed dramatically by ZAR 2.9 billion, signaling improved operational efficiencies and profitability. Our normalized headline earnings turned positive for the first time to ZAR 611 million. The market share in beer has stabilized and margin improvements, like Jordi said, have been achieved through initiatives like our returnable packaging program for mainly bottles and crates. Despite our limiting pricing power due to competitive pressures, cost savings measures have protected our profit. The business remains cash flow positive with stable net debt, positioning it well to capitalize on growth opportunities in South Africa and other African markets, following a complex 2-year integration period. Next slide. You can see the graphs show the revenue contribution by category and also the revenue growth by category on the left-hand side. The revenue growth was achieved across all categories with single to double-digit increases, reflecting very strong brand investment and market dynamics. Beer revenue stabilized, thanks to brand support and returnable packaging, which also helped improve the margin. The cider category continues to expand rapidly with Savanna now the largest cider brand globally by volume and value, and Bernini emerging as a standout performer. Spirits, spirits remain important for profitability despite significant pricing pressures. And on wine, while the premium wine faced challenges as consumer shifts towards more mainstream options. The next slide shows the revenue contribution now by region. So obviously, we've got Heineken Beverages SA business, the Heineken Beverages International business and Namibia Breweries. As you can see there, South Africa remains the dominant contributor to Heineken Beverages, revenue and profit, also producing export stock for other regions. The Namibia business, led by Windhoek and Savanna is profitable and provides operational benefits. The NBL portfolio is growing in volume validating the strategic rationale for Heineken Beverages. HBI, or the international business, has high single-digit volume growth across key African regions, highlighting significant expansion potential, supported by local production capabilities and export opportunities. The geographic and product diversity strengthens the company's position and supports long-term growth ambition across the African continent. This slide here, we detail the movement in reported headline loss for Heineken Beverages, including the Remgro IFRS adjustment. The significant reduction in headline loss from F '24 to F '25 as a result of significant improved earnings before tax of ZAR 2.1 billion. The depreciation and amortization on the purchase price adjustment, or the PPA, is also ZAR 720 million less than the prior year, and that's mainly due to the inventory realizations for ciders and wines coming to an end. The financial improvement underscores the company's progress in stabilizing operations and enhancing profitability following the integration, as we said. Here, we see a waterfall between the reported headline earnings and normalized headline earnings. Excluding the depreciation and amortization on the purchase price allocation, the headline earnings increased to ZAR 479 million. Nonrecurring expenses mainly cover transaction-related restructuring costs and integration efforts. After accounting for all of these items, the normalized headline earnings showed a strong positive turnaround to almost ZAR 611 million from a loss of ZAR 268 million in the prior year. Thank you. I hand over back to Jordi.
Jordi Borrut: Thank you, Lucas. So moving ahead, we still see a changing market dynamics and a challenging market dynamics that set to persist, both by a softening of the alcohol market and by the entry players at low cost, but we have a delivery focus to mitigate some of these impacts. One is the stabilization and the expectation to continue our momentum in beer, a strong innovation pipeline, which has proven to successfully deliver strong gains, pricing dynamics that we can leverage, thanks to the multiplicity of our SKUs and brands, which allows us to play smartly with pricing across the broadest of our portfolio, a continuous obsession on fixed cost savings as we've been doing for a route-to-market transformation as I also explained. It's important to say that we've recovered margin despite a continuous and strengthened investment behind our brands, our ABTL investment has increased over the last 12 months and will continue to increase as we want to focus deliberately in building strong brands. We're now here for the peak performance, which happens between now, September, October, until the end of the year. We're ready for it. And this is the period where we make most of the profit from the company in these last 3, 4 months. Last, but not least, we are very satisfied with our change in our sales focus, from a regional focus to a channel focus, meaning that we've structured our sales force now to be focused on different channels, and we've seen very positive outcomes of that shift, and we will continue with that focus on a channel basis moving forward. Thank you so much.
P. Cruickshank: Good morning, everybody. Nice to have the opportunity to add some color to the RCL Foods results, which we published on the 1st of September. Just starting with the strategic overview, and we progressed well against our strategy, which is -- consists of 3 pillars: People First, Right Growth and Future Fit. And I'll just comment on each one in terms of the progress made, but it's also supported by nonstrategic enablers, which are consistent with what we showed in the prior. People First, good progress being made in this pillar. Right growth is challenged due to lower demand, and I'll speak more to the market conditions in the food sector just now, and then, Future Fit, with the context of the tough economic conditions, which we mentioned many times this morning, we've significantly dialed up focus in this area and have made good progress in F '25 results. Just talking to the highlights of F '25. As mentioned previously, the strategy is consistent with prior years and clear, and we've shifted our focus on execution in F '25 and delivered a pleasing set of results despite the market conditions. Just to unpack some of the F '25 strategic priorities that were delivered in a little bit more detail, as context to the numbers, starting with People First, we implemented customized diversity and inclusion plans across our various operating units. We have a diverse business across many provinces, and each plant requires a unique plan, which we've made good progress in implementing. We've shifted culture -- our culture to drive high-performance culture, and this is an individual person level as well as the collective, and we're seeing benefits of that come through in our results. From a Right Growth point of view, net revenue management has delivered savings in the current year, and we've made pleasing progress in this regard. Baking has some key innovation projects, which will be delivered in F '26, but significant progress was made in those projects in F '25 and position us well for the innovation launches which are to come. And then finally, it's not all about growth and innovation, the core is a major part of our business, and we are focused on profitability in the core, particularly in Pet and Bread, and this has yielded positive results in F '25. And in Future Fit, we delivered significant value in our Continuous Improvement program. And as mentioned previously, you need to focus on within when you don't have growth to offset some of your costs, which are coming at you. And these initiatives will continue into F '26. We have a strong pipeline of opportunity there. We have delivered overhead savings in F '25 to address the lost synergies as a result of the Vector sale and the Rainbow separation with the final unbundling step at the end of this financial year with regards to services, which continue to be provided to Rainbow. And then finally, whilst not often spoken about, we implemented successfully Phase 1 of our Group's SAP IT rollout with the conversion of our main operating engine to S/4HANA, which positioned us well for our future years from a system perspective. Then just touching on the numbers and focusing on underlying results, revenue largely muted as a result of the market conditions, improvements in EBITDA and our margin improving 0.5% and pleasing the headline earnings up 14.9%. Important internal measure for us, which we drive all the way down to an operating unit level, is our return on invested capital, and you'll see that whatever metric you look at in F '25, both of them are now above our weighted average cost of capital, which is pleasing. Some market context, Food volume consumption remains under significant pressure. Just starting with inflation on the left-hand side of the chart, you can see Food and then unpacking Staples and then Food excluding Staples. You can see very small inflation revenue numbers coming through in there, which is below the target range of 3% to 6%. This is also impacted by volume. And you can see across various metrics, volume has remained challenged, particularly in Staples, and I have consistently raised the concern when volume in Staples is negative. And you can see which -- over the period, 12-month moving average minus 2.8%, in the more recent period 5.5% in Staples. Some volume growth in the high end of the market with regards to Food of 1.7% for the 12 months to June. On the right-hand side, we unpacked the Food volume trend over a 2-year period. Just a reminder, this date had come from Ask’d, which supports 80% of the food manufacturers, so it's volume out from food manufacturers. And you can see the last 6 months all months in negative territory barring one in June, and this trend has continued down to FY '26. So the market remains very challenged from a food consumption perspective. Just moving into RCL Foods market share performance within that context, pleased to say that our brands continue to hold up well despite the market conditions, but our market shares across a number of them improving in the period. I'd just like to call out 2, which are worth noting. One is the Nola Mayonnaise movement from last year's 47.4%, down to 42.5%. At interim, I did state that we were comfortable with this and remain comfortable with this because the right range for Nola Mayonnaise is between 41% and 43% market share. So that is a clear strategic move to improve margin over the period. And then the others worth calling out is Feline and Canine Cuisine, both of them in the Premium Pet Food sector in retail, and you're seeing nice market share growth, and I'll come back to that later in terms of the Pet performance. Our EBITDA performance and waterfall for the year, the outer bar showing the statutory performance, and I'll just comment on the material bars in between. And the middle section showing our underlying EBITDA performance, which unpacks our operating view, which are up 7.9%, with the statutory number up 11.4%. Some of the material numbers in the statutory reconciliation relate to insurance claims, the Komati being one and floods in Komati area being the other. The other one that's worth calling out is the ZAR 91 million special levy recovery, which relates to the business rescue process for Gledhow and Tongaat. And it's probably worth spending a second just to update everybody where we are there. That ZAR 91 million did come through in H1 of F '25, and that was money that was held at SASA with regards to exports and that was payable to the other millers and growers within the industry. Just an update on the process, Gledhow is on a payment term, and the first payment was made in F '25, and there's 2 more years for them to repay that outstanding levy. The Tongaat portion remains subject to the appeal case, which will be heard in the Supreme Court. We still remain hopeful this side of the calendar year, but certainly early in 2026 calendar. Tongaat to exit business rescue will need to pay ZAR 517 million into an escrow account. And we also believe that, that process is imminent, and then, the recovery of that money was subject to the court case. We remain confident in our perspective, our legal view on this case. In the operating view, I'll talk to the business units on the next slide, but just to mention growth, I spoke earlier about the overhead savings, and you see that coming through in the group line showing a profit or movement of ZAR 62 million versus the prior year as well as unallocated restructuring costs, which we've managed to reduce our cost base to offset Vector and Rainbow. A long-term historical perspective of our performance at RCL Foods, so taking out the businesses which are now being separated, starting with F '21 through to F '25. F '21, just a reminder, was a COVID year, so significant tailwinds from a food consumption perspective. I think what I just want to mention here is the makeup of the results and the quality of the earnings that underpin F '21 versus F '25, and you can see growth coming through. But in F '21, our Groceries and Baking business units made up 50% of our EBITDA, and F '25, they make up 60% of EBITDA. And this is despite a very good profit performance on sugar, which I'll contextualize in the next slide. So we're making progress in terms of our shape of our portfolio with a lot of our focus and innovation coming through in Baking and Groceries. And then just to touch on each business unit's performance briefly, you'll see a nice uptick in the EBITDA numbers for Groceries and Baking, 25.5% Groceries and 55.1% in Baking, with sugar down 22.3%, but it's worth noting that sugar is nearly ZAR 1.1 billion EBITDA for F '25 is the fourth highest profit in its history. So still a significant performance. Just touching on each one briefly, Groceries, I mentioned earlier around Pet Food driving premium brands, and you can see that payable product mix driving some of the improved performance. NRM and continuous improvement initiatives playing a role here as well as production efficiencies and to some extent reduced load shedding costs of not having to run those diesel generators in our Randfontein plant. From a baking point of view, strong turnaround across all operating units. We saw volume growth in Pies and Specialties, only 2 operating units across the group that saw volume growth in the year, and Milling benefited from improved pricing. Bread reported a significant turnaround in EBITDA. I must acknowledge it's off a very low base, and a lot of work continues to happen in Bread to turn this business around and position ourselves differently within the market. And then from a sugar point of view, we've seen pleasing agricultural performance and manufacturing operational performance in FY '25, particularly out of -- our biggest plant being Malelane, opportunities that exist there to continue that improved trajectory. And we're seeing good crop and good yields come through in the first part of season '26. There is some risk in sugar. In the last 6 months of the financial year, we saw reduced consumer demand and a significant increase in imports, which is a concern to us. Just looking forward, I've given the context of consumer demand. We don't see any change to that. And as I mentioned, we're seeing that trend continue into the first couple of months of the new financial year. And we will continue to focus and drive our strategy, which is a focus on business resilience. And in pockets of growth, where there is, we will take advantage of that. Just 3 things I want to mention on the slide. The first one is Sugar. We are expecting the less favorable market conditions from H2 to continue. Significant work is happening between SASA and ITAC to reduce the impact of the import risk. That is a process which needs to be followed and at best will be resolved sometime towards the end of Q1 of 2026 calendar year. So there is risk in sugar. We will, as a consequence of that, give a strong emphasis to our internal items, which we can control. Then the last 2 to call out, I mentioned the key innovation launches in Grocery and Baking. They will not drive significant value in F '26, but remain key enablers for improved performance into the medium term, and we are well progressed and on track with those projects. And then finally, we have refreshed our Pet Food strategy and are busy implementing that, and this is to make sure that we are well positioned to play our profitable brands in the channel shift, which is currently taking place in Pet to the Specialty Pet stores, which are busy being rolled out by our major retailers. And with that, I'll hand back to Jannie.
Jan Durand: Our priorities remain as stated, as we've explained, Carel explained at the beginning of the presentation. So they won't change. But in their nature, we must remember, they are not binary, most of them are long term and require continuous attention. Even so, today, we spoke to some of the notable improvements we've made as evidenced by our pleasing results. We're happy to celebrate the gains, as it keeps the teams motivated and up to new challenges. Looking at the year ahead, I'm excited to continue building on the progress of the current year, notably through continued active partnership with our management teams and co-shareholders to drive sustainable performance in our underlying portfolio. The positive momentum we have seen in this financial year, I'm pleased to report that it continued across the majority of our portfolio in the first few months of the current financial year. However, we will continue on our path of sharpening and simplifying the Remgro portfolio as well as in seeking out capital allocation opportunities that will create sustainable value for our shareholders. No doubt, our refined capital allocation plan will be central to the value unlock phase of our journey. This includes our continuing journey of simplifying our portfolio. On our sustainability priorities, we remain focused on strengthening disclosure, including alignment on key ESG indicators to be monitored across the group. A key priority will be able to deepen the risk component of our climate reporting through scenario analysis and stronger risk management processes. This will enable us as a holding company to better understand the risks we face and to support our investee companies in addressing them effectively. These remain the 3 key immediate priorities for us as a management team, which we believe, if done right, will aid our efforts in achieving our goal of crystallizing value for our shareholders. Beyond our portfolio, South Africa's muted GDP growth, strained consumer sentiment, high employment -- unemployment rate and economic reform, progress continues to pose some challenges. The implementation of significant U.S.A. import tariffs will also magnify this impact, the quantum which is very difficult to predict right now. Our portfolio is certainly not immune from this impact. We are not naive about the magnitude of some of the challenges that we continue to face and understand these will test our resilience and require some creative solutions. Our team, however, remains up for the challenge, and I remain confident that our mindset of realistic optimism will be impactful. This will enable us to make a positive contribution for the benefit of our shareholders and the wider community in which we operate in, in line with our purpose. I'm personally very grateful for all the tireless efforts of my team and all our partners, and I'm equally pleased with what we've been able to deliver so far, as evidenced by the results we have presented today. It would be obviously very unfair to single out anyone, but I think it will be remiss of me not to make special mention here of Peter Uys who retired in August. Peter has been a stalwart in our teams and joining us from Vodacom 12 years ago. But I think it's fair to say that there is efforts and determination in getting the CIVH and Vodacom deal to a point where it looks highly likely was a true evidence of his character and a great example for all of us at Remgro. It took nearly 5 years. Thank you now for your time. We will now open the floor for questions, and hopefully, we can answer all of them. Thank you very much.
Operator: [Operator Instructions] At this moment, I will hand over for written questions submitted via the webcast.
Lwanda Zingitwa: Jannie, we have a few questions on the webcast. Maybe to start, and I think, Carel, you covered this in the slide, but maybe we can add a bit of color because there's a few questions around capital allocation priorities in the group and given the amount of cash that we have and that we're likely to get if the CIVH deal goes ahead. And linked to that, with the announcement of a special dividend makes sense at a 40% discount versus having done a share buyback.
Carel Petrus Vosloo: Thanks, Lwanda. Maybe to deal with the second part of that question first, the question of a share buyback versus a special dividend. I think it's fair to say both of those things are ways of returning capital to shareholders. We've got shareholders that would prefer us to do buybacks. We've got others that would prefer cash. I will say that those that prefer us to do buybacks are typically more vocal than the ones who prefer the cash. But you can get roughly to the same outcome if you're a shareholder that prefers to do a buyback is to take your cash and then reinvest that and buy shares. So that gets you, as I say, remotely to a similar place maybe with the exception of withholding tax, if you are a shareholder that pays withholding tax, but you do get a base cost uplift. So in the end it sort of almost washes out. But I don't think we're committed to only the one or the other and maybe this answers the earlier part of the question that the capital allocation priorities and how we move forward is high on the agenda of the management team and indeed the Board, so it's a live discussion. The reference to the CIVH-Vodacom transaction is important because that is an important milestone that changes the outlook for capital at the center. That did only happen after -- well, the competition appeals court approval was after year end, and we're still awaiting the ICASA approval. So that's not fully in the bag yet. But as I say, it's an ongoing conversation, and we are very mindful of the implications for -- as I say, for Remgro in the long term and short term and also for shareholders. So it's getting a lot of attention.
Lwanda Zingitwa: Thanks, Carel. And while we talk about value creation, Jannie, there's a question on OUTsurance having grown to be our second largest investment and whether there's consideration to unbundle that, which would unlock about ZAR 14 billion of value for shareholders.
Jan Durand: I think I've said that at the Capital Markets Day as well. OUTsurance remains a core asset of Remgro, certainly part of our longer-term strategy. So our capital allocation, not just focus on short term, it also look at the longer-term things and what we see as the longer-term Remgro strategy. So certainly, OUTsurance is still part of our investment thesis.
Lwanda Zingitwa: And maybe last question for now on capital allocation, Carel, having unbundled eMedia and the sale of BAT and Grindrod, can there be an expectation when you talk about front-footedness that we are going to see more rationalization of the portfolio? And linked to that, what plans we have for the remainder of the FirstRand stake?
Carel Petrus Vosloo: It's certainly, Lwanda, I think a path that we are committed to continuing on. I think it was last year this time that we said, when nothing is happening, we mustn't assume that nothing is in the works. So on this topic, I feel a bit like that analogy of the duck that's swimming above the water looks very calm, but there's a lot happening underwater. So it is something that I can reassure investors that we -- that it's an area of focus. It gets a lot of attention. I'll also acknowledge the things we did this year, selling FirstRand shares or selling BAT shares are relatively easy things to do. EMedia, perhaps a little bit more complicated, but again, there was a route to a capital market exit. So it wasn't that difficult. Some of the other things are more difficult. So they take more time. But what I can definitely say is that it's our objective we committed to you. There's lots of effort going into it. As for FirstRand, we're not -- I think we've shown a hand at the right price. We were a seller of shares. I think it was around ZAR 84 that we realized shares in the last year. But it also does depend on the use of funds. So it's -- FirstRand remains a great investment, a great company. So it's not something that's burning our pocket, but we'll continue to watch that space.
Lwanda Zingitwa: Thanks, Carel. Jurgens, on Mediclinic, a few questions around Spire and the strategic review that's currently at play and how Mediclinic thinks about its stake in Spire given what that process entails?
Petrus Myburgh: Thank you, Lwanda. Yes, we're, of course, very aware of the dynamic around Spire and the announcement that came out last week. I would say that following that announcement, according to the U.K. takeover rules, Spire is in an offer period, which place a restriction on what we can and cannot say. What I will say, and what we've said often, is that we continue to be a supportive shareholder of Spire in respect of the continued execution of the strategy in the first instance and the cost-saving initiatives that they continue to be on a path with aimed at saving a net number of GBP 60 million in the cost base. But also the rollout across other areas of the business, the acquisition of Vita, the continued rollout of day surgery facilities. This is something that we're very supportive of. Other than that, we continue to support the management team, and we continue to focus on the interest of all stakeholders, but also looking to drive long-term shareholder value for the business as well.
Lwanda Zingitwa: Thank you, Jurgens. And to Lucas or Jordi online, there's a question on Heineken Beverages. Where are we from an EBITDA margin perspective today versus what the target is? And are you able to talk a little bit more around the trajectory and timelines for that margin recovery?
Lucas Verwey: Thanks, Lwanda. I can start here. Jordi will also chip in. That EBIT or our EBITDA margin is the conundrum we face every day. So pricing and margin versus market share is basically the same side -- or 2 sides of the same coin. So every day, we battle with that. Currently, we're coming off a low base. We just provide context. We went through integration, so there's some disruption there. What I can say is that F '25 full year for the Heineken Beverages financial year-end, we will have doubled our EBIT margin. And obviously, just for reference, in our EBIT margin, we have ZAR 2.5 billion of depreciation. So if you want to work back to EBITDA margin, you can. Then long term -- and also the second factor that impacted us heavily is the massive discounting in the market currently from all players in the beer market, ciders and spirits and wines. So all areas, we had significant discounting preventing us from taking a lot of price, and therefore, passing on some of the cost pressures to the consumer. So we had to sort of balance pricing to maintain and stabilize our market shares over the past 2 years. Going forward, the long-term trajectory, the EBIT type margins that we're looking at from a sort of a Heineken Global perspective is around 15-odd percent. So the evolution is to get to that double-digit number in due course in the next 2 or 3 years.
Lwanda Zingitwa: Thank you, Lucas. And back to Carel and Neville, just a confirmation of what price we hold the Capevin stake at and whether you can comment a little bit on how it has gone with having Campari as a co-shareholder in Capevin and plans going forward.
Carel Petrus Vosloo: Neville, you must correct me, but it's ZAR 15 and some change, I think, is the price that we hold it at. So -- there we go, ZAR 15.45. So not a million miles away from the price that was originally put on the deal as part of the larger restructuring. And as far as Campari as a co-shareholder, they've been incredibly constructive. We've worked well alongside them. They seem to have the same regard for the value of the brands and the assets that we have there. Obviously, the whiskey market is in a slump, and it's a cycle that we will see through. But yes, certainly, there's good efforts going into making sure that we manage those assets to ensure their long-term value, and Campari is on the same page as us in that respect.
Lwanda Zingitwa: Thanks, Carel. There are no questions at this stage on the webcast, except for comments to say congratulations on an excellent set of results and a few thank yous for the special dividend. Can we ask for questions on the Chorus Call line?
Operator: A question comes from Rey Wium of Anchor Stockbrokers.
Rey Wium: Jannie, Neville, Carel, you have touched on -- I think it's on Slide 10, but I just want to get a feel -- I mean, obviously, I'm fully supportive of what's been happening here. The investment activity over the past 2 years have been fairly muted. I think it's like ZAR 300 million and ZAR 500 million plus/minus over the past year. So it looks like the focus has been on the debt reduction, which is great. So I just want to know whether the capital allocation will continue in the short to medium term to be more -- basically supportive of the existing investments in your various pillars as opposed to looking for new outside opportunities. So I just want to get an idea around that. And then maybe just a quick one on -- I mean, it's obviously still dependent on the approval of the Maziv transaction. But I mean, if Vodacom decides to top up their stake to 34.95%, my understanding is that they will purchase that directly from Remgro. So let's assume that, that does happen, will that flow through to Remgro's own cash balances? Or will it be trapped within CIVH? So that's about a ZAR 2 billion plus amount that we're talking of.
Jan Durand: First question. Let me -- we're open for business for new investments. So I think the reason why you haven't seen new activities probably related -- not seeing the right opportunities, also the muted GDP growth in South Africa with very low growth prospect. And remember, we've got a high cost of capital, so it must beat our internal hurdle rate. So yes, but the short answer is absolutely correct. We're open for business. But also, we'll still focus on the other capital allocation thing. So we're not saying new investment, but also following on investment. As Carel has mentioned earlier, that is very critical for us and supporting our underlying investments so to have a reserve at the center to be able to follow on investments if they've got expansion opportunities. Then, on the second part of your question, regarding the option, yes, that is -- will be a cash that will flow directly to Remgro. So if they exercise that option, that will be cash at the center. I don't know if you want to add anything Carel.
Carel Petrus Vosloo: No, that's right, Jannie. And Rey, it's the presentation that we did after the announcement of that transaction sets it out relatively clearly. So if you had to follow it there, you'll see that, that purchase from us sort of happens through CIVH. So it's a subscription of shares or purchase of shares from CIVH and then a repurchase of shares from Remgro with a bit of leakage of tax sort of in between. But you're right in that number, roughly ZAR 2 billion that should come directly to Remgro -- or the ZAR 2 billion is sort of the bottom end of the range. It's subject to a valuation, but yes, that's correct.
Rey Wium: And if I may, just a quick 2 additional questions from my side. This is for Jurgens on Mediclinic. I think it's now the second year in a row where the dividend declaration, I think, was $40 million. I just want to know what could trigger an uptick in that rate. Is it dependent on the debt levels within Mediclinic or -- so maybe just some color around that? And then maybe just for Lucas on Heineken Beverages. I just want to clarify or just check if my calculations are correct. I mean, the improvement in the operating performance there, does that basically look like about -- round about 4 percentage point improvement in EBIT margin? So just the incremental increase, which I'll sort of try to pick up there. I just want to know if my calculations are correct.
Petrus Myburgh: Thank you very much. From our side, the dividends, obviously, it's -- as you can imagine, is part of a much broader capital allocation strategy in terms of, as I set out at Capital Markets Day, first and foremost, the generation, which very much depends on revenue growth and driving our EBITDA margins and then converting that into cash, which is our operating strategy in a nutshell. But then looking at where we allocate that towards, you're 100% right. If we look at our leverage, it has reduced to 3.1x, which is the lowest than it's been in a very long time, at least since I think I've been with this company. But in -- within that portfolio of debt, we need to make a couple of moves. We have 0 debt in the Middle East at the moment, in the process of refinancing in South Africa and we need to do the same in Switzerland as well. And so I think we need to settle that down. And then, we need to look at our growth trajectory, especially within the Middle East and the capital requirement there. But all of that, over a 5-, 10-year period and evaluate that and then say, okay, well, then what is the right dividend level for us at a shareholder level as well. But we -- I can assure you, there's quite a bit of emphasis and discussion around that -- around the boardroom table as well. So it's a very important part of capital allocation, but it forms part of this much broader framework that I just outlined.
Jordi Borrut: From Heineken side, yes, the margin, you're correct. Just remember, we have a different financial year. So our full financial year ends in December. But for this period that we're talking about, you're right, we probably had a 3.5-odd OP or EBIT percentage going to 7-odd, so it's about that 4% increase -- incremental increase for the period under reference, so correct.
Rey Wium: Excellent. And congratulations again on a great set of results.
Operator: Ladies and gentlemen, with no further questions, this brings us to the end of the question-and-answer session. I will now hand over to Mr. Jannie Durand for closing remarks.
Jan Durand: Just want to say thanks for everybody for attending. And hopefully, we can present another good set of results in 6 months' time. Thank you very much for your -- for attending the session. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, that concludes today's event. Thank you for attending, and you may now disconnect your lines.